Operator: (Abrupt Start) Genesis has five business segments. The onshore Pipeline Transportation division is principally engaged in the pipeline transportation of crude oil. The offshore Pipeline Transportation division is engaged in providing critical infrastructure to move oil produced from the long lived world class reservoirs from the deep water Gulf of Mexico to onshore refining centers. The Refinery Services division primarily processes sour gas streams to remove sulphur at refining operations. The marine transportation division is engaged in the maritime transportation of primarily refined petroleum products. Supply and logistics division is engaged in the transportation, handling, blending, storage and supply of energy products including crude oil and refined products. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida, Wyoming and the Gulf of Mexico. During this conference call management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission. We also encourage you to visit our website at www.genesisenergy.com where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time I would like introduce Grant Sims, CEO of Genesis Energy LP. Mr. Sims will be joined by Bob Deere, Chief Financial Officer and Karen Pape, Chief Accounting Officer
Grant Sims: Good morning and welcome to everyone. This morning we reported available cash before reserves of $64 million providing 1.05 times coverage of the distribution we will pay on May 15th. The distribution of $0.61 per unit represents the 39th consecutive increase in our quarterly distribution, a 0.34 of which have been greater than 10% over the prior year's quarter and none of which has been less than 8.7%. Our first quarter results reflect the continuing contributions from our newest assets the SEKCO Pipeline and the M/T American Phoenix. Volume flow in the SEKCO pipeline continues to increase though this through put will only have a direct financial benefit to Poseidon until minimum volumes on SEKCO are achieved and exceeded. M/T American Phoenix which we acquired in November, 2014 is now fully integrated into our off shore marine fleets and we’re pleased with the results achieved from the first full quarter of operations of this vessel. Our first quarter results were achieved in spite of the challenges we previously discussed in our fourth quarter conference call. These challenges included mandatory dry dockings on two of our ocean going barges, fewer days relative to the prior quarter and the effects of the increase in our unit price on compensation expense which approximated $800,000 under the our equity based compensation plan all impacted the first quarter of 2015. However, our strategy of focusing on customers further downstream in the energy value chain such as refiners as opposed to producers and on our crude oil pipelines in the Gulf of Mexico continues to allow us to achieve our business objectives. On April 10, 2015 we issued 4.6 million units that resulted in net proceeds of $198 million. All of these units will receive our distribution of $0.61 per unit on May 15th. Excluding the effects of these new units our coverage ratio would have been 1.1 for the quarter. We intend to use the $198 million of proceeds for general partnership purposes including funding organic growth projects, repaying a portion of the borrowings outstanding under our revolving credit facility. Pro-forma for the equity offering or adjusted leverage ratio would have been 4.09 times at the end of the quarter. We continue to progress on our projects in Louisiana, stretching from Port Hudson through Baton Rouge in south to Raceland. All designed to provide services for multiple refining complexes in Louisiana. Although a small portion of that infrastructure is in operation we would continue to expect to see meaningful volumes until those facilities are completed in the second half of 2015. We continue to be well served by our business strategies including being primarily refinery centric and supporting world class oil developments of integrated and large independent energy companies operating in the deep waters of the Gulf of Mexico. Our business strategies coupled with our complementary acquisitions and growth projects that we will be ramping up throughout 2015 should position us well to continue to achieve our goals of delivering low double digit growth in distribution and increasing coverage ratio and investment grade leverage ratio all without ever losing our cultural focus on providing safe, responsible and reliable services. With that, you will turn it over to Bob.
Bob Deere: Thank you, Grant. In the first quarter of 2015, we generated total available cash before reserves of $64 million. Representing an increase of $10.6 million or 20% over the first quarter of 2014. Adjusted EBITDA increased $15.8 million over the prior year quarter to $82.4 million representing 24% year-over-year growth. Net income for the quarter was $20.2 million or $0.21 per unit compared to $29.8 million or $0.34 per unit for the same period in 2014. Segment margin from our on shore Pipeline Transportation segment decreased $400,000 or 2% between the first quarter periods. The decrease was primarily the result of decreased volumes on our Florida pipeline offset by increases in volumes on our Texas and Louisiana pipelines. Offshore Pipeline Transportation segment margin increased $11.8 million or 88% between the first quarter periods. The increase was primarily the result of the financial contribution of the minimum throughput requirements on our SEKCO Pipeline which completed in July of 2014. Upon completion of the SEKCO Pipeline we began earning certain minimum fees with actual crude deliveries beginning in January, 2015. While the throughput as commenced on the SEKCO Pipeline throughput volumes have yet to exceed a level at which throughout revenues would exceed the monthly minimum payments. All such throughput will benefit our Poseidon pipeline but not add additional contribution from SEKCO unless and until throughput exceeds the minimums in our contracts. Refinery services segment margin decreased $1.7 million or 8% between the first quarter periods. NaHS revenues decreased due to a reduction in volumes which was attributable to a decrease in the sales to customers in South America recognized during the quarter. This quarterly decrease which was due to the timing of certain bulk deliveries to our South American customers is not indicative of a decrease in NaHS demand. The average index prices for caustic soda which is a component of our sales price increased between the first quarter periods. The pricing in our sales contracts for NaHS includes adjustments for fluctuations in commodity benchmarks, freight, labor, energy costs and government indexes. The frequency at which these adjustments are applied varies by contract, geographic region and supply point. The mix of NaHS sales volumes to which these adjustments apply varies between periods. Our raw material costs related to NaHS decreased slightly in spite of a slight increase in the average index price for caustic soda. We were able to realize benefits from operating efficiencies at several of our sour gas processing facilities. Our favorable management of the acquisition including economies of scale and utilization of caustic soda in our operations and our logistics management capabilities which somewhat offset the effects on segment margin have decreased NaHS sales volumes. Segment margin from our marine transportation segment increased $5.2 million or 26% between the first quarter periods. That increase was primarily attributable to a full quarter of operating results from the M/T American Phoenix which we acquired in November, 2014. Supply and logistics segment margin increased by $1.8 million or 23% between the first quarter periods primarily due to improvements in our heavy fuel oil business. These improvements included a reduction in volumes and related infrastructure in our refined products business as we continue to right-size our heavy fuel oil business to match the lower volumes of blend materials currently available to us to economically handle compared to the volumes that have historically been available to us. This new market reality has resulted primarily from the general lightening of refineries crude slates resulting in a better supply demand balance between heavy refined bottoms and domestic coker and asphalt requirements. The increase in segment margin resulting from the improvements in our heavy fuel oil business was partially offset by decreases in fees earned on rail load and unload volumes. Interest costs corporate general and administrative expenses maintenance capital utilized and income taxes to be paid in cash affect available cash before reserves. Interest cost for the first quarter of 2015 increased by $6.4 million from the first quarter of 2014 primarily due to an increase in our average outstanding indebtedness from newly acquired and constructed assets. Interest costs on an ongoing basis are net of capitalized interest costs attributable to our growth capital expenditures. Corporate, general and administrative expenses included in the calculation of available cash before reserves increased by $900,000 primarily due to higher employee compensation expenses resulting from continued growth of our partnership. In addition to the factors impacting available cash before reserves other components of net income included depreciation and amortization expense which increased $7.8 million between the quarterly periods primarily as a result of newly acquired and constructed assets placed into service. Also in the 2015 quarter our derivative positions resulted in a $1.5 million noncash unrealized loss compared to a $3.9 million noncash unrealized gain in the 2014 quarter. Finally the increase in our earnings from our equity investees of $7.7 million included in net income was less than the $13.3 million increase in available cash from the distributions received from our equity investees. The items discussed above is partially offset by an increase in segment margin resulted in a decrease in net income per common unit of $0.13 between the quarterly periods. Grant will now provide some concluding remarks for our prepared comments.
Grant Sims: Thanks, Bob. As discussed our businesses are performing well and we would expect them to continue to do so in spite of challenges or head winds that always seem to pop you. We expect to continue to be well served by our business strategies including being primarily refinery centric and supporting long lived world class oil developments of integrated and large independent energy companies. As always we would like to recognize the efforts and commitment with all of those with whom we are fortunate enough to work including our commitment to provide safe, responsible and reliable services. With that I will turn it back over to the moderator for any questions.
Operator: [Operator Instructions]. Your first question is from John Edwards with Credit Suisse. Your line is open. 
John Edwards: Grant, could you remind us on when you expect to exceed the minimum payments from your SEKCO project?
Grant Sims: Probably starting in the late second or third quarter.
John Edwards: Okay. I was wondering on the crude oil product sales volumes, you know looks like it was down year-over-year, down sequentially, was that primarily from the fuel oil right sizing?
Grant Sims: Correct. I think total refined product sales were about 12,000 barrels per day less in the first quarter of 2015 than they were in first quarter of 2014 and by arithmetic, crude oil and trucking volumes were actually higher in the first quarter of 2015 than they were in 2014.
John Edwards: Okay. And then are you expecting any more volume losses there from right sizing or is it kind of stabilized now?
Grant Sims: We in round terms were about average to about 500,000 barrels a month in our fuel oil business and I think we indicated previously that that’s where we think that we have right sized it to the market realities.
John Edwards: And then on the Jay volumes, those were down quite a bit sequentially and also year-over-year. Could you give us a little more detail on what's going on with that?
Grant Sims: Virtually all of that was reduced volumes through our Walnut Hill Rail loading facility due to certain market conditions and operating conditions at the primary customer there but we now have indirect access to another 400,000 barrels a day of refining capacity and we are actively discussing the potential to hopefully move some volumes for additional refiners through that facility.
John Edwards: Okay. And then we notice the Texas volumes were up substantially there, both sequentially and year-over-year. Just a little more -- what's the details on that?
Grant Sims: Moving more volumes into refineries in the Texas City area.
John Edwards: Okay. All right. And then just on CHOPS, that fell sequentially. Why was that?
Grant Sims: It's indicative of turnarounds and/or work that is occurring on several of the dedicated facilities which generally indicate once that work is completed that volumes will not only go back to previous levels but exceed them.
Operator: The next question is from [indiscernible] with UBS. Your line is open.
Unidentified Analyst: John asked most of my questions, so just a bit of a follow-up to one of his with respect to the loading and unloadings. It sounded like in your response that it was mostly about the resizing of the business and so forth. Was there any impact as a result of the labor impact on or labor negotiations rather at the refineries at all? Did that have somewhat of an impact as well, too?
Grant Sims: None. Those are volumes that are down that we are actually losing money on in the prior year period, so they are good volumes to get rid of.
Unidentified Analyst: Okay. And then one follow-up question. I mean you sort of mentioned in your prepared remarks that the equity raise was primarily for general partnership interests paying off debt and so forth. Are you actively looking at M&A opportunities that sort of fit within your downstream business model and so forth? Is there an active market out there? I was wondering if you can give us a little bit of color on that.
Grant Sims: We have historically and I think we referenced that we are not necessarily overly active and [indiscernible] in market with M&A opportunities but we are working on a number of organic opportunities onshore in terms of additional pipelines and terminal capabilities and so just, A, adequately manage our overall capital structure and have the ability to further our discussions on certain organic opportunities we felt it was a good time to thicken the equity.
Operator: The next question is from Daniel Schenk with MLV & Co. Your line is open. 
Daniel Schenk: Just to jump on John's question about CHOPS' volumes. Any time frame on when you expect some of those turnarounds and work that’s being completed to be done?
Grant Sims: We would anticipate most of it to be through late second quarter, third quarter.
Daniel Schenk: Looking at maintenance CapEx or maintenance capital utilized it's been steadily rising through 2014. Is your marine fleet expansion the main driver of that? And to you expect it to grow at a similar pace?
Grant Sims: Part of that is just structural. As we’ve disclosed at the time that we adopted the maintenance capitalized utilized measure we began that recognition in that manner in January, 2014. As we go through and get more quarters behind us with more expenditures recognized in that manner we would expect this measure to continue to increase.
Bob Deere: The majority of the marine maintenance and repair expense is actually recognized above the land so it is not really driven by the increase in marine.
Daniel Schenk: Kind of just a general question. Looking at the EIE report this morning, refinery utilization it looked like it was flat from last week about 91%. I'm just kind of curious how that compares to kind of what your own expectations were and what you guys think we will see going into the back half of the year?
Grant Sims: I think it's generally consistent I mean from our perspective obviously, [indiscernible] haven't looked at the numbers that came out yet, but you know we know certain facilities with which we have different types of service relationships with are -- this is not an atypical kind of turnaround period for them. Also as they kind of shift out of heating oil distillate type production into gasoline production. We haven't sewn anything out of the ordinary at this point in any of the behavior of our refinery customers.
Operator: Your next question is from Cory Garcia with Raymond James. Your line is open.
Cory Garcia: One quick item just looking at the refinery service business and recognizing the color, appreciate the color you guys have given in terms of demand trends. As we look to volume and shipments in the second quarter it going to be a catchup phase or sort of everything slid out a little bit? How loud we look at that more from near term standpoint?
Grant Sims: I think it's important to point out and thanks for asking the question. Our total sales to South American customers recognized in the first quarter was about 4700 tons less than it was a year ago and that really is reflective of timing issues and not aggregate run rate demand. As for instance we anticipated loading a vessel which are typically FOB sales in the March 24th through 27th period that didn't load until April 2nd. So those volumes that were loaded on that vessel wasn’t reflected in the first quarter but it will be reflected in the second quarter. We did mention on our fourth quarter call that we do we have identified approximately 6000 or 7000 tons on an annual basis which due to the primarily to the bankruptcy of an independent copper producer in Arizona that’s a little headwind that we have relative to 2014. But, I wouldn't read a whole lot into the timing delta associated with recognized sales to our large customers in Peru via and Chile.
Cory Garcia: Switching focus what are you guys hearing and seeing out of some of the rail facilities up in Canada, obviously looking for the timing of the push of those volume town to Raceland once your facility starts up?
Grant Sims: I think that you know as we have indicated in our prepared comments, that both volumes going into Scenic which is outside of Baton Rouge and Raceland we anticipate later in 2015 to see more volume coming out of there. There has been a couple of delays in some of the loading facilities in Canada and so yet we are still in the construction phase of integrating everything. By we would expect to see volumes to start ramping up and certainly in the fourth quarter of 2015.
Operator: [Operator Instructions]. Your next question is from Brian Zarahn with Barclays. Your line is open.
Brian Zarahn: In marine transportation can you remind us the mix of term and spot contracts?
Grant Sims: It varies depending upon the inland fleet versus the offshore fleet working backwards from the off shore; the M/T American Phoenix is under contracts through September of 2020. Typically all of the ocean going barges are under contracts which typically have a 1 to 2 year primary terms with a series of options that can be exercised by the current customer that we’re providing the service for. On the inland side I would say probably order magnitude 60% of our inland barges are under one plus year type contracts and 40% more on the spot basis.
Brian Zarahn: Over the past couple of months where we were seeing the spot market move?
Grant Sims: For us, on the inland side we are singularly focused on moving black oil or the bottoms of the refine product where we don’t I think four out of our existing 62 barges are actually in crude oil service. So we have seen very strong utilization even though I think our inland side we reported 96.1% utilization for the first quarter as a practical matter we exited the first quarter at 100% utilization.
Brian Zarahn: And then shifting to crude by rail it sounds like you are not concerned about the volume decline because they were either low margin or negative margin. What's your -- it sounds like you are working to get more customers, with you how to you view the crude barrel volumes for this year?
Grant Sims: We believe that they will accelerate into the latter half of the year as we kind of referenced on answer to a previous question and as we also discussed on the fourth quarter call you know to an extent a couple of our smaller facilities which are more opportunistic type facilities are you know the utilization is driven by spreads and to the extent the spreads float around a little bit and the demand for the loading or unloading services can be affected by that not by the overall price levels. But, we think that we will have certainly exit this 84 with substantially higher volumes as our main flagship facilities at Scenic and Raceland ramp up by the fourth quarter of 2015.
Brian Zarahn: And then on expansion CapEx what was the number in the first quarter and what is the update for 2015?
Grant Sims: For the announced projects that we have disclosed our estimate for 2015 was I believe $250 million for that to be completed for the rest of the year. For the quarter itself, in our growth capital expenditures we incurred $123 million and then another $2 million related to our equity invests.
Brian Zarahn: Of the 123 is the bulk of that for the announced projects or how should we think of that number?
Grant Sims: The bulk of that, all that is for announced projects and an update, I said 250. Actually, it is now $290 million since our estimate for the full year, 120 occurred in the first quarter.
Operator: And there are no further questions at this time. I will turn the call back over to our presenters for any closing remarks.
Grant Sims: Okay. Well, thank you very much for participating and we will talk to you in 90 days or so and [indiscernible]. Thank you.